Operator: Ladies and gentlemen, thank you for standing by, and welcome to ServiceNow's First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Darren Yip, Vice President of Investor Relations, you may begin your conference.
Darren Yip: Good afternoon and thank you for joining ServiceNow's first quarter 2022 earnings call. Joining me are Bill McDermott, our President and Chief Executive Officer; and Gina Mastantuono, our Chief Financial Officer. During today's call, we will review our first quarter 2022 results and discuss our guidance for the second quarter and full year 2022. Before we get started, we want to emphasize that some of the information discussed on this call such as our guidance is based on information as of today and contains forward-looking statements that involve risks, uncertainties and assumptions. We undertake no duty or obligation to update such statements as a result of new information or future events. Please refer to today's earnings press release and our SEC filings, including our most recent 10-Q and 2021 10-K for factors that may cause actual results to differ materially from forward-looking statements. We'd like to also point out that we have presented non-GAAP measures in addition to and not as a substitute for financial measures calculated in accordance with GAAP. Unless otherwise noted, all financial measures and related growth rates we discuss today are non-GAAP, except for revenues, remaining performance obligations, or RPO, current RPO and cash and investments.  To see the reconciliation between these non-GAAP and GAAP measures, please refer to today's earnings press release and investor presentation, both posted on our website at investors.servicenow.com. A replay of today's call will also be posted on our website. With that, I’ll turn the call over to Bill.
Bill McDermott: Thank you very much, Darren, and good afternoon, everyone. We really appreciate you joining our call today, we're pleased to once again report results that firmly beat expectations. In January we reported a stellar 2021. Today, we're following that up with a very strong Q1.  The constant currency numbers speak for themselves. Subscription revenue growth was 29%, CRPO growth was 30.5%, operating margin surpassed 25%. And all were above the high end of our guidance range. In fact, our raised guidance today which Gina will cover shortly also speaks for itself. As does the 52 deals over $1 million in Q1 that were up 41% year-over-year. It's clear that the world is beginning to understand the power of this platform. We said in January that our fast growth would accelerate in Q1, it did. Now, three months later, we expect subscription revenue growth to accelerate for the full year, it will.  We said that ServiceNow's fast growth would continue to be paired with the leverage of a global market leader. Now, with our accelerating revenue growth and free cash flow, we're already approaching the rule of 60 for the full year. We have strong adoption from existing and net new customers. Our rolling four quarter pipeline remains ever strong. We're delivering predictable, fast growth with exceptional free cash flow.  Overall, we're super excited about the state of this business. We believe it sets us up really well, for the remainder of 2022 and beyond.  I do want to offer a few comments on what we're seeing in the broader marketplace. We've talked about a sustained demand environment for the enterprise. While there are significant challenges in the world, particularly in the Eastern European situation, we have not seen a material impact on our market. To the contrary, the challenges have underscored the urgency of investment in digital business.  IDC continues to see a 23% year-over-year increase in the global public cloud market for 2022. We see similar indications of demand durability, which are consistent with or above the tenure pre COVID average. Leaders who do plan to adjust their technology budget plan to increase investments in 2022. One leader put it well. He said Bill, if we slow investment in the short term, we'll lose ground in the midterm, and we won't be in business for the long term and quote.  And the data tells the same story. The average tenure of a company in the S&P 500 has declined from 30 years in 1996 to 19 years in 2021. So it's very clear that business can no longer revert to a status quo posture, no matter the environment. We're now in a tech to compete world. If you look to our new customer acquisition, here is what resonates.  Businesses is shifting investments in technologies that get them to the right outcomes faster. Cloud native platforms like ServiceNow are seen as an elixir to speed up new revenue streams and better experiences for people.  When we say increase focus on topics like supply chain, risk, security, ESG, all of these convert who's perceived what was perceived headwinds into much stronger secular tailwinds for service now, so the world's biggest problems are really ServiceNow's biggest opportunities. And it all adds up to what we said consistently. The technology architecture is now the business architecture. This is the era for digital business.  Our businesses are firing on all cylinders in this environment, behind great experiences or great workflows, which underscores the unique extensibility of the ServiceNow platform. So here it is. Our core technology workflows business performed well in Q1, ITSM was in 11 of our top 20 deals, which continued strong adoption of ITSM Pro. We continue to see strong attach rates from ITOM in 13 of our top 20 deals. Security and Risk had a great quarter with a combined 13 deals in the top 20. Global biotech innovator, Regeneron, works with ServiceNow to increase productivity while decreasing costs. Global financial leader, RBC, works with ServiceNow for cloud and asset tracking. I'd also like to thank RBC for administering the ServiceNow racial equality fund. The only way for companies to transform the customer experience is to fully integrate their employee experience. Customer workflows continue to see strong demand, particularly with our vertical SKUs. Barclays works with ServiceNow to automate cross-agency case management and compliance with EU data privacy requirements. In this post-pandemic economy, many businesses are creating direct-to-consumer business models. Companies like Telefonica Brazil work with ServiceNow to better serve their next-generation customers. Employee workflows were also strong in the quarter. HR was in 14 of the top 20 deals. Global health care solutions company, AmerisoBergen, works with ServiceNow to transform their employee experience. In the digital business era, differentiation can't be bought, it must be built. IDC now forecasted 750 million net new applications will be created between 2023 and 2025. With the unprecedented demand for net new innovation together with a global shortage of professional developers, low-code application development is a massive market opportunity. While tech leaders see the value of citizen developers, they don't want to sacrifice the enterprise-grade governance and security. This is what gives ServiceNow a unique differentiation in the low-code market. Look at Daichi Life Insurance, one of the world's largest insurance companies, which is standardized on app engine for all low-code application development. With creative workflows in 16 of the top 20 Q1 deals, we see this trend accelerate. A leading manufacturer of print inks, DIC, works with ServiceNow as their new citizen developer platform, one of many such examples. Here's the key takeaway, businesses are no longer in the mood to experiment. They go with what they know works, which is why the world works with ServiceNow. We are the only one with a fully integrated platform architecture that can address every C-suite business challenge because enterprises are so focused now on fast time to value. Our new customer success subscription offering, ServiceNow Impact, also saw a strong demand in Q1. And as ever, the ServiceNow platform is the foundation for our ongoing success. We're encouraged by the extremely favorable reception from our San Diego platform release. In particular, users love the next experience, which streamlines navigation, make search intelligent and simplifies personalization all on our platform. We also unveiled a new automation engine, which makes it simple for users to do robotic process automation on the ServiceNow platform. Only ServiceNow can help businesses unify their approach to hyper automation. We now orchestrate AI, RPA and other key technologies on a single local platform. Fred Luddy founded our company in San Diego. So this release was an especially proud moment for all of us. I'd like to personally salute our product and engineering teams for the transformational work they delivered in our San Diego release. Congratulations, team. Outstanding job. Looking forward, we see many positive developments that affirm our confidence in this business. Investment from our partner ecosystem continues to accelerate nicely. Thierry Delaporte, CEO of Wipro, said the following, "Bill, we couldn't be more excited about the potential of ServiceNow. You bring a whole new dimension to customer success and technology innovation. We are all in." This outstanding partnership with Wipro is only just getting started. We also have our signature event series, Knowledge 22, taking place in May. Each of four locations will demonstrate the high enthusiasm of the growing ServiceNow community. We will have showcases in The Hague, New York City, Sydney and Las Vegas, in addition to a fully digital experience. So please join us. So in closing, we had a great Q1. Everything is lined up for us to follow suit in Q2 and for the full year. We're taking steps forward every day to our stated milestone, $10 billion-plus by 2024, $15 billion-plus by 2026 and beyond. It's worth reiterating at this time that we remain on track to be the fastest ever to hit those thresholds. Finally, beyond the business results, I'd like to offer the heartfelt support of our more than 18,000 ServiceNow colleagues worldwide to those confronting humanitarian crisis, especially in Ukraine. Like so many of our customers and peers, ServiceNow is pursuing numerous opportunities to support relief efforts. By continuing to do well, we confer to commit our company to doing good. This is firmly aligned to our purpose of making the world work better for everyone. Herein lies our path to be the defining enterprise software company of the 21st century. Ladies and gentlemen, we are a company on the move. I'd like to thank you again for your time and your trust in ServiceNow. We're looking forward to addressing any questions you may have. And I'll now hand it over to our great CFO, Gina Mastantuono. Gina?
Gina Mastantuono : Thank you, Bill. Q1 was yet another fantastic quarter of execution. Enterprises are navigating a macro environment filled with a myriad of challenges. Our ability to continue delivering strong results exemplifies the resiliency of our business and the mission-critical nature of the NOW platform. The breadth of our product offering and our geographic reach provide us a diverse array of opportunities for growth. Although FX headwinds grew throughout the quarter, ServiceNow outperformed across all of our Q1 guidance metrics. In fact, net new ACV growth accelerated year-over-year, driving the fastest Q1 growth we've seen since 2018. We expect that momentum will carry into Q2 with net new ACV growth consistent with our very strong second quarter last year. As a result, we're raising the midpoint of 2022 subscription revenue guidance to more than offset these incremental FX headwinds. Turning to Q1 results. Subscription revenues were $1.631 billion, growing 29% year-over-year in constant currency, exceeding the high end of our guidance range by $16 million. This reflects a 300 basis point acceleration in growth year-over-year. RPO ended the quarter at approximately $11.5 billion, representing 31.5% year-over-year constant currency growth. Current RPO was approximately $5.69 billion, representing 30.5% year-over-year constant currency growth, a 1-point beat versus our guidance. From an industry perspective, we saw broad-based strength with energy and utilities, financial services, government, health care, life sciences, TMT, and transportation and logistics all growing net new ACV 40% or more year-over-year. Our renewal rate was best-in-class at 98% in Q1 as the NOW platform remains a core component of our customers' digital transformation efforts. The stickiness of our customer base has served as a solid foundation for us to build upon as our largest customers continue to expand. We finished the quarter with more than 1,400 customers paying us over $1 million in ACV. We closed 52 deals greater than $1 million in net new ACV in Q1, up 41% year-over-year. This includes seven net new logo deals in the quarter, further demonstrating our success with initiatives to land quality customers. Our portfolio outside of ITSM is also leading more of our largest customer land. Nine out of our top 10 new customer deals were led by non-ICSM products. Turning to profitability. Operating margins surpassed 25%, driven by our revenue beat and certain spend that shifted into Q2. Our free cash flow margin was 45%. We ended the quarter with a healthy balance sheet, including $5.5 billion in cash and investments, putting us in excellent shape to continue investing in strategic initiatives that drive growth. Together, these results demonstrate our ability to drive a balance of growth and profitability. And perhaps even more relevant this year is resiliency and predictability of our business model. While a diversity of markets and customers provide stability in our results, the diversity of our employee base continues to make us even stronger. Last week, we released our second annual Global Impact Report. Just as the ServiceNow platform helps us fully integrate customer, employee and technology experiences across our business, we'll continue to use the ServiceNow ESG management and reporting solutions to manage, govern and report our progress. While we're early in our ESG journey, we're extremely proud of our accomplishments in such a short time.  We've made significant improvements in representation and hiring. We've tied executive compensation to both environmental and diversity goals. We fully distributed ServiceNow's $100 million racial equity fund, and we've continued to achieve systemic pay equities. I'm happy with the progress we've made in 2021, but we're just getting started. Moving on to guidance. As the conflict in Ukraine intensified throughout Q1, we continue to see an incremental strengthening of the U.S. dollar, resulting in further FX headwinds in 2022. However, on a constant currency basis, the underlying health of our business has remained ever strong. With that in mind, let's turn to our 2022 outlook. We are raising the midpoint of our subscription revenue outlook by $23 million to more than offset the incremental $20 million headwind we're seeing from FX, resulting in a net increase of $3 million. Our new range of $7.025 billion to $7.04 billion represents 26% year-over-year growth. That's 28.5% growth on a constant currency basis, a 50 basis point raise versus our previous outlook. This reflects our updated expectation for constant currency growth to now accelerate year-over-year. We continue to expect subscription gross margins of 86%, up 100 basis points year-over-year, operating margin of 25% and free cash flow margin of 31%. Finally, we expect diluted weighted average outstanding shares of 204 million. For Q2, we expect subscription revenues between $1.67 billion and $1.675 billion representing 26% year-over-year growth, which is inclusive of a 3-point FX headwind. On a constant currency basis, we expect subscription revenue growth to be 29%, a 250 basis point acceleration from Q2 2021. We expect CRPO growth of 25% year-over-year or 28% on a constant currency basis. I'd note that for full year 2022, we have a larger-than-average customer cohort that renews in Q4. We will see between one and two points of increasing headwinds to Q2 and Q3 CRPO growth as those contractual obligations wind down. When the cohort renews, though, in Q4, those headwinds will subside, and we expect CRPO growth to reaccelerate quarter-over-quarter. We expect an operating margin of 22%, which reflects the timing of marketing spend that shifted from Q1 into Q2 and some incremental FX. We expect 203 million diluted weighted outstanding shares for the quarter. In conclusion, Q1 was another outstanding quarter. Our momentum is setting us up for a great year. As Bill highlighted, we're excited about our San Diego release. Our future innovation pipeline is robust, as we seek to extend our market leadership, deepening our competitive moat as the platform for digital business. ServiceNow is incredibly well positioned to become the defining enterprise software company of the 21st century.  I'd like to invite you all to hear more about the momentum we're seeing and learn more about our new products and long-term opportunities at our upcoming Investor Day on May 24 in Las Vegas. Finally, I'm extremely proud of our team's performance this quarter. Bill and I can't thank our employees enough for their continued hard work and dedication.  And with that, I'll open it up for Q&A.
Operator: [Operator Instructions] The first question comes from the line of Keith Weiss with Morgan Stanley. Your line is open.
Keith Weiss: Thank you guys for taking the question and a really nice quarter. Actually, two questions. One, just on kind of the overall macro backdrop and how you guys are kind of performing so well against that. One, is there any geographic differences? Like are you seeing any difference in sort of behavior in Europe versus behavior in the U.S. or Asia Pac? Or is it pretty much consistent across the board? And two, is there any -- like if you think about this period of time versus what we saw in 2020, right, and we were dealing with the COVID pandemic, are there any similarities or differences to point to in terms of what you're seeing now versus what you saw then?
Bill McDermott: Well, thank you very much, Keith. First of all, in terms of then and now, in both cases, the world's biggest challenges are ServiceNow's biggest opportunities. And if you remember, we stepped right up to the emergency response, returned to work safely. And that really spurred on a whole new business for ServiceNow, but more importantly, to establish the brand as a leader. The case is also true now. The war in Ukraine, the rising inflationary environment, interest rates and dislocated supply chains, these are all opportunities for the NOW platform because this is the unique attribute of ServiceNow. We're an enterprise software market leader. Most of the companies, where they have felt the negative impacts of the environment, have a consumer business that will be probably impacted from these forces, but the enterprises are basically saying it's a tech to compete world, and I have to invest now because I'm already, in many cases, falling behind. For example, just two years ago, one-third of the business was getting done in digital formats. Today, it's two-third and two years, it will be 90-plus percent. So if you don't get digital fast, you lose.  The other thing, we're in a war for talent in the global economy, like that's never been seen before at this level. And there's unique attributes of how the software has to take care of the people. You have to recruit them, hire them, but you have to onboard them. That's one of the moments of truth that nobody does the way we do it. So they feel part of the culture and where they're working from. And then, of course, you have to give the consumer great experience to differentiate you. That is also true for the customer on a direct-to-consumer level and obviously creating the gaps on the low-code platform. So what I'm saying is, the world needs these problems solved, so we can help manage those macro effects that you're talking about. So the environment feels somewhat like it did then in that context, but we're redoubling our focus and our optimism across all employees anywhere in the world because all of our customers need us. So again, I think the unique differentiation is our clear focus on the enterprise and our consistent innovation. And on the geography scenario, it obviously will vary by quarter here and there. They're all strong. Americas was particularly strong, but all of our regions have strong pipelines and every reason to believe that it will be a consistent across-the-board effort everywhere in the world.
Keith Weiss: Outstanding. Congratulations on a really nice quarter.
Operator: Your next question comes from the line of Brad Sills with Bank of America. Your line is open. 
Brad Sills: Great. Thanks for taking my question. Congratulations on a real nice quarter here. The thing that really stands out to me is just the broad strength that you're seeing across different departments, ITSM, employee workflows, ITOM, security risk. These are multiple lines of business. My question is, what has changed about the go-to-market such that you're able to bridge the gap across so many different departments and find relevance for your solutions there? Is the global SI channel a key to that? Are there things that have changed in just your internal go-to-market as well? Thank you.
Bill McDermott: Brad, thank you for your kind words, and also, you're on to something here. We became a platform company, Brad. We started out in IT and where you have a very proud technical excellence for the IT leaders around the world. And they really get behind ServiceNow in a big way because they know it works. And what happened along the way with this digital transformation world that we're living in right now, IT really became the business strategy because it's the only way to keep your business secure. It's the only way to make sure your employees can get what they need to do their work no matter where they're working from. It's the only way to reach out and innovate with those new next-generation customers who will only do business with you digitally. And ultimately, this creative workflow is massive because the number of applications that will be developed in the next three years supercede the number that have been built in the last half century. And there's not enough engineers in the world to do that, and they're doing that in record numbers on ServiceNow. But here is the big difference. When we became the platform company, the leaders that believes in us that were generationally from the IT environment wants to grow with ServiceNow. I can do all this on one architecture, one platform, one data model, and I can give all the constituents of our enterprise with the need to win, whether they're in the HR department, sales and marketing, they couldn't be in the field service or they could just simply be citizen developers trying to do something to help the company. And now I can do all that but govern it, make sure it's compliant and make sure the innovation is always tethered to the investments we've made in the past, so we can have a brighter future. And that's the big difference. And internally, we've moved to a solutions by industry and persona and business impact company along the lines of that platform, and everybody is super excited about where we're going.
Brad Sills: That’s great to hear. Thanks so much.
Operator: Your next question comes from the line of Arjun Bhatia with William Blair. Your line is open.
Arjun Bhatia: Perfect. Thank you very much. And I will add my congrats on a great quarter. Bill, maybe I want to follow up on your conversation about inflation earlier. I'm sure you're seeing hosting costs go up, labor costs are increasing. At the same time, right, with your product, you're adding more value to customers.  You've talked about ServiceNow being a deflationary platform, I mean you're innovating. But how do you think about pricing in this environment for your solution? Is there an opportunity to be more aggressive as you add more value and to try to maybe offset some of the costs that are increasing on the OpEx side?
Bill McDermott: No, it's a really good question, Arjun. I think the main thing to take away from this is when you are in a privileged position because the technology has such a strong advantage, in software, if you do it right, you shouldn't have discount thresholds that behave like doing it wrong. So in software, if you can control your pricing algorithm and make sure that you're getting the price you deserve for your product because it has a well-constructed business impact that's been clearly defined with the customer, you find that you can actually improve price/performance without exacting large enterprise change to the customer. And that's what we're really seeing. We're really seeing a professionalism around how we comport our story, the power and impact of the platform and how we can make that fully transparent to our customers. And we even invented an application that they're using on their business iPhones right now where they can see the impact of the projects they do with ServiceNow and the return on those investments as they are tethered to the original business case that was done at the point of sale. That's the level of precision that I'm unaware of another enterprise company operating on. So it's really about value. It's really about business impact, and our customers are buying in.
Arjun Bhatia: Perfect. Thank you very much.
Operator: Your next question comes from the line of Karl Keirstead with UBS. Your line is open.
Karl Keirstead: Hi, thanks. Gina I just wanted to give you a chance to elaborate on the U-shape CRPO trajectory in 2022. And in particular, I just wanted to clarify the 1 to 2-point sequential headwind to that metric. So does that mean that the 28% guide in 2Q would be maybe 29%, 30% normalized? And then in 3Q, do you get another 1- to 2-point headwind before you get that acceleration in 4Q? Love any color you can provide, as I think others on the call would. Thank you.
Gina Mastantuono: Thank you, Karl. That's exactly right. And so basically, what we're saying is that there's a 1- to 2-point impact in Q2 and Q3 because of this new -- this large renewal cohort. And so if you think about a renewal and a customer that at the end of Q4 2021 had $1 million. And that's up for renewal in Q4 in 2022, in Q4 of last year, the RPO would have had $1 million, then in Q1, it would have had $750,000. Then in Q2, it would have had $500 million; Q3, $250,000. So that's the impact that we're talking about. And we've quantified it for you at between 1% to 2%, and you've got it exactly right how you're talking about it with the math.
Karl Keirstead: Okay, super helpful. Thanks Gina.
Operator: Your next question comes from the line of Phil Winslow with Credit Suisse. Your line is open.
Philip Winslow: Thanks for taking my question. Congrats on another just outstanding quarter. Bill, thanks for all the color you gave on just the feedback you're getting from customers in terms of just the prioritization of IT spending and ServiceNow. And it really doesn't feel like you're leaning into that opportunity. When I look at sales and marketing head count, that's up 25% year-over-year.  My question is, I guess, twofold. One, what are your goals just for hiring in this line for the year? And are there any areas where you think ServiceNow is going to be leaning into, whether it be geographic or vertical functionality? And then Gina, I wonder if you could just comment on the sales productivity ramp time that you're seeing?
Bill McDermott: Phil, thank you very much, Phil. What's really wonderful about ServiceNow is we just crossed our 18,000th employee that we'll be onboarding in the next week or so. So we continue to be the place people want to work. And that's super exciting because in this environment, I get phone calls from other Boards of Director members telling me there's no boomerang going back to their company from ServiceNow because people are choosing so many options within the ServiceNow family. As you know, we hired very heavily in R&D. This is an innovation machine. It's a growth machine. And we also are cognizant of sales and marketing to make sure that the things we do tend to have a quota-carrying equation associated with them. So the leverage is there for shareholders. So Gina will give you some of the facts and figures on it. But I just think it's super important to have a brand that's the place people want to be, especially in this very, very tight labor market for digital skills.
Gina Mastantuono: Yes. And I would just add, Phil, that you're seeing the numbers, Q1 headcount up 28% year-over-year in this environment is pretty phenomenal, and hats off to our HR function and recruiting function and all of the teams for being able to do that. But you're seeing it right. We continue to invest in sales and marketing and R&D. It's really about driving innovation and sales and marketing, really getting that strong go-to market, that we have been talking about. We talked about for the full year expecting hiring in the high 20s, and we're absolutely on that trajectory to continue that. With respect to productivity with the sales folks, we're definitely seeing good productivity increases year-over-year in Q1 and expect to see that continue throughout the year. So go-to-market teams are executing very well. We feel really good about the results.
Operator: Your next question comes from the line of Samad Samana with Jefferies. Your line is open.
Samad Samana: Hi, good afternoon. Congrats on just another very great quarter for you guys in a tough environment. Maybe during the quarter, we went to the Federal Forum. And it was great to see attendance there be very robust. It felt like we were back to the pre-COVID times. And I'm just curious, have you seen the demand to match that and particularly with the higher DoD IL-5 level certification. How should we think about that in terms of opening up new opportunities and expanding the TAM within the federal sector that you're targeting?
Bill McDermott: Well, thank you very much, Samad, first of all, for attending. We really appreciate it. As you know, that forum was really successful. It was done in person, and it was the most successful Federal Forum we've ever had, and it happened post the COVID in the sense that people started to travel a little bit again. I think you called it really well. I think the big sensational outcome from that was not only that U.S. federal saw 100% growth on a year-over-year basis in what we refer to as net new average contract value. But you also see the certification on IL-5 really taking off, and I believe that our partnership with Microsoft will show up very big, specially congratulate Microsoft and Satya on having a very strong quarter. I wish him well. It's fantastic. And we have very good partnership with them. So I think we can solve a lot of problems for U.S. federal is a big market opportunity. And the President's management agenda and the administration's guide to their constituents is really for the government to deliver results fast, drive digital transformation, and they're adopting the NOW platform as a standard. And we're only one of a couple, there's three total, including Microsoft, that are IL-5 certified. So I think you caught on to something here that could be a wellspring of opportunity. I'll finally close off this workplace service delivery capability of ServiceNow and on a safe workplace applications have seen the strongest interest from federal customers. And again, that's fueled by the Biden administration's agenda. And the quote that I would give you, as I remember it, they said that federal will lead the way to returning to work now. So this is a very strong business for us. Incidentally, that TAM for the government marketplace globally is an enormous TAM, as you know. So being a leader in U.S. federal, also we're doing a lot in state and local, is quite a statement. And I think that, that will drive growth around the world.
Samad Samana: Very helpful. Thanks for taking my question.
Operator: Your next question comes from the line of Kash Rangan with Goldman Sachs. Your line is open.
Kash Rangan: Thank you very much. Let me comment my congratulations on the spectacular quarter. Bill, I think you've got the macro argument pretty well nailed. I'm not going to ask that question, but I'm curious to get your thoughts as you scale the company to 15-plus, I noticed the plus after 15. How do you think about distribution, given that you've run big distribution of big companies so far? The customer count of 7,000, 8,000 certainly is very impressive, big deal sizes.  As we envision the life beyond 15-plus, what is the go-to-market structure of the company look like? Are we looking at a 2-tier, 3-tier type distribution, predominantly go-to-market, high-end, channel, SI, et cetera? Help us envision the future, Bill, to get to your target. Thank you so much and congrats.
Bill McDermott: Thank you very much, Kash, for the question. So the distribution, I again reiterate, our focus right now is on the enterprise. We're an enterprise software market leader. We have lots of work still left to do in geographic expansion for the company. There's a huge opportunity in markets like Japan, obviously, all across Europe, LatAm. I really like to focus on markets like Canada, of course, trade markets, the way they want to be treated in that localized style. We obviously have lots of expansion rights in the Middle East and other places. And I'm looking at bellwether markets like Germany, France and the U.K., which are already now starting to take off beautiful. So there's a geographic component. We also have segmented the way we develop software and take that software to market by industry. And as you know, we're very focused on your industry, of course, financial services, one, but there's telecom, there's manufacturing, there's every industry under the sun in motion, but we've gone strong with 6, including life sciences and so forth. And then persona-based. If you think about taking this platform across the enterprise, you have to speak intelligently to all the C-level executives that run the enterprise. And we have a Rubik's Cube formula around the geography, the industry and the persona that's now being executed at an art form level by our great marketing communications leader and his team. So I'm super impressed with that. We also did something, I think, very interesting with life step that a lot of people haven't picked up on, but life step is a next-generation customer platform. And when you think about having one user experience across the whole enterprise, where people are in and out different screen styles to figure out what they're observing, you also have an observability platform that is a direct-to-consumer platform by design that I think is a precursor to many of the things we can do with the core.  And also, we could take the core and put it in prepackaged, ready-to-run solutions and build an ecosystem around that and turn on a whole new channel of small and mid-market channel partners as we take the company everywhere. And so now, on the big partner channel, there isn't a single one out there in the top 10 that doesn't at least start with a B, meaning we don't have million-dollar conversations, we have billion-dollar conversations, and we even have the top one now chasing $10 billion. So I mean, Kash, in short, we're going to chase every market opportunity all over the world, and we're going to win. And we have a team that's ready to conquer this market like never before. It's so exciting here right now, Kash. I just wish you could be in the building to see it.
Gina Mastantuono: And on that note, Kash, I hope to see you on May 24 at Investor Day because we'll talk a lot about what we look like at $10 billion and $15 billion-plus. So hope to see you there.
Kash Rangan: I'm already there. Definitely seeing you there.
Bill McDermott: That's great. But can you feel it, Kash? Can you feel the building?
Kash Rangan: I can. Absolutely. Congratulation.
Bill McDermott: Thank you, Kash.
Operator: Your next question comes from the line of Matt Hedberg with RBC Capital Markets. Your line is open.
Matt Hedberg: Great. Thanks for taking my question. Bill, really as a follow-up to that last question. You mentioned of observability. You guys recently launched incident management platform. I think it's really infused with light step and observability. I'm wondering if you can talk about the importance of that offering. And maybe just double-click again on sort of why you think you're going to win in observability, because it seems like a huge market opportunity for you guys?
Bill McDermott: Well, the first thing to recognize here Matt, is huge market opportunities don't require anyone for -- to lose for us to win. They're huge market opportunities. So we'll still integrate, as we already do, with the largest participants in that market. And we want them to be successful because customers have invested in them and our way of going about things is that's great, let's make that customer successful together. That's why they integrate seamlessly into the NOW platform. At the same time, we have many customers that realize that ServiceNow can out-innovate just about anybody in the marketplace, so they want us to do more for them. And clearly, observability was one of those categories. And we just got there a lot faster with light step because we believe Ben and his team are the most innovative in the industry. And we're just so proud to have such trust and partnership with them and such big dreams together. So Lightstep launched incident response, as you said. It's the first new product since joining ServiceNow, and it's big. So incident response will add a lot of context and automation to the incident response process, and customers are looking for that. And by the way, they may even have more than one incident response vendor in there. So we don't rail against others. What we try to do is work for the customer. We've put our part hard hat on, roll up our sleeves and we go to work. Lightstep also launched an industry-first unification of observed billing analytics, and they also get collaborative notebooks. So these innovations are breaking down those silos I referenced between metrics and tracing and streamlining its critical SRE workflow space. So in Q1, for example, we signed some cool deals along with Plaid, which we're very proud of. And that's a data networking company, as you know, and they're powering the Fintech and digital finance product space, and they're using Lightstep for complete visibility into distributed architectures, and they're allowing Plaid to investigate CI and CV issues, and they're doing it 20 times faster than they used to. And we also got Airtable, again, cool brand, next-generation brand, and they're building collaborative applications, and they're driving the reliability of complex distributed systems and proactively improving performance for users, and again, more effectively monitoring and resolving both system-wide and specific customer issues, but they're doing it with one UI, and they're not balancing people in and out of different experiences. And this is what I keep going back to when you talk about real platform innovation and the integrity of a consumer-grade experience, and you can do that across an entire enterprise. That's why I believe our Board of Directors did a great job of defining enterprise software company in the 21st century is doing it with a DESCO 21C logo. So now we have 18,000 people that all they think about is DESCO 21C, whether you're innovating, covering a customer or just driving the conversation. We know where we're going.
Matt Hedberg: Well said. Congrats, Bill.
Bill McDermott: Thank you very much.
Operator: Your next question comes from the line of Alex Zukin with Wolfe Research. Y our line is open.
Alex Zukin: Hey guys, thanks for taking the questions. And congrats on the truly inspiring quarter-end message in a tough tape. I guess maybe just two for me, Bill. You talked about the health of the federal vertical on the call. I was wondering if you could also maybe comment on some of the other verticals that you're seeing success in and saw success in the quarter and how we should think about just greater verticalization in the product itself, either for telco or Fiserv or others? And then just a follow-up for Gina.
Bill McDermott: Sure. Sure. Well, thank you very much, Alex, for your very kind remarks. It means a lot to us. Our team is doing a really great job. And when they hear that, you just inspire us to go higher, and we appreciate it. So thank you. We've done a lot in terms of the vertical coverage. We have our great Chief Operating Officer, CJ Desai, now not only running all of engineering with what we believe to be the best engineering team in the business, but also, he's overseeing our industry orientation and the whole go-to-market around that. And he teams up in a beautiful way with the go-to-market team, our leader Paul Smith and great regional presence. We have just super proud of our team. But banking is really simplifying the whole middle to back-office operation context, and financial services is going really well. I referenced Barclays, but there's just so many that are all-in on ServiceNow. Our telecommunication solution is really aligning customer care and service assurance, transforming -- just think about how communication service providers deliver great customer experiences. And you can't get away with fixing problems anymore. You've got to proactively anticipate these issues before they even come up. And if they do come up, you've got to address them quickly to maximize availability and quality of service. So we're seeing a lot of traction in telecommunications and we're really becoming the standard across the board. We're super happy with manufacturing and what we're doing there, operations technology management, driving the whole notion of what these manufacturers are trying to do to have their critical technology available and provide visibility and security of all of their assets. Another one I would underscore is health care and life sciences service management. How do you connect cross functional health systems and teams and simplify how people engage with the health care providers, payers, pharma companies and medical device organizations? It's all about the patient experience. And high-tech manufacturing, another one that's really come on strong for us. I mean I could give you more, but those are the ones that are just rocking right now. And one theme I will give you is you can't give a customer a 3-star Michelin experience unless you first give it to your employees. And the NOW platform is really controlling the conversation now for enlightened decision-makers because they're like, I've got to tether my IT excellence to the employee experience, and I've got to take care of my customers in new and highly innovative ways.  And this platform does the magic they need done, but it does it in days or weeks, not months and months and months and years. And finally, in all these solutions, we're cooperating with those systems of record. The customer knows that they're there and they've got them and they're very important to their business. So we just come in quickly and make everything better for everyone.
Alex Zukin: That's awesome. Very inspiring, Bill. Gina, I guess the follow-up for you, you talked about accelerating growth in new ACV in the quarter. Again, which is quite rare for a company of your size to do quarter in, quarter out, not to mention in this type of macro environment. I guess the question is, as the comps get tougher through the year, but you do start returning to more in-person events, presumably more productivity from the sales force. Is it possible to see that type of new ACV momentum continue?
Gina Mastantuono: So we -- I talked about in my prepared remarks that we expect Q2 to show accelerating net new ACV growth as well, consistent. Whether that lasts for the full year, they're pretty incredible comps. And so we obviously don't guide to full year net new ACV, Alex. But the reason I spoke about it specifically was really because I wanted everyone to feel confident that the CRPO guide, although slightly less than Q1, really had this impact, right? And that it wasn't driving -- it wasn't a result of the underlying business that, in fact, we're seeing accelerating net new ACV in Q1 and expect similar in Q2. So that was the reason for my comment. I'm so proud of our entire organization for being able to drive an acceleration of this scale at our scale. And just really excited about the momentum we're seeing into Q2. We feel really strong and good about the guide for the full year. And the momentum that we're seeing in Q1, we expect to be consistent throughout the year.
Alex Zukin: Crystal clear guys. Thanks so much. Congratulations. 
Bill McDermott: Thank you very much, Alex.
Operator: Your next question comes from the line of Gregg Moskowitz with Mizuho. Your line is open.
Gregg Moskowitz: Thanks very much. And I'll add my congrats on a really good quarter. Bill, we all tend to think about ITSM as the workhorse for ServiceNow, but it's interesting that it was only included in 11 of your top 20 deals, which is quite a bit less than what we usually see. And I think you mentioned also that 9 of your top 10 were led by non-ITSM products. So do you look at this Q1 result with respect to this metric as more of an anomalous outcome? Or do you think it's reflective of ServiceNow increasingly landing and expanding with other workflow automation solutions?
Bill McDermott: Gregg, it's a great question. Actually, we're so encouraged with our core. Our core is growing beautifully. And if you look at the revenue outcome from our core, it's right there at the corporate rate. So what you're seeing has nothing to do with any dilution in that core business. On the contrary, we've got enormous uplift with our Pro SKU, as you know. That's a 25% uplift. So it's 30% penetrated now. So there's lots of people that like it and there's many more to go. So we have lots of room left on the Pro SKU. If you think about the kind of customers where we're winning, I mean, the great brands, Amerisource Bergen, Baptist Health, Regeneron, DIC pharma -- I mean it goes on and on. Royal Bank of Canada, Telefonica. Every -- Wipro, for example, just like sort of complete generational change with it. So let me make sure I make it clear. The core business has never been stronger. There's no revenue dilution whatsoever. What is happening, we are landing and expanding. And you're right, the IT concept really did form the basis for us to move into the employee experience, the customer experience, the whole creative workflow where citizen developers are now really creating the future they want to see. And without that ever solid magnificent core, none of that would have been possible. So I want to really set the record straight. Our team is doing great across all these segments. The newer or the younger ones are obviously going to get some more land and expand opportunities. But we love on our core, and we love our leaders.
Gregg Moskowitz: That’s fantastic. Super helpful. Thanks Bill. 
Operator: Your next question comes from the line of Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Thanks very much. And I'll echo the congrats on a really nice quarter. Bill, when the pandemic hit, you were able to operate at a really high level virtually. But as a platform company, I was curious as to how beneficial it is to be able to actually see your customers in person and talk about the entirety of the solution as well as the ability to sort of move up the organization, meaning moving from the CIO suite up to the CEO level? I was just wondering if you could just expand on that a little bit because I think you're in a little bit different position than some other software companies that maybe only sell into one buying center. Thanks. 
Bill McDermott: Thank you very much, Kirk. I have to tell you, one thing that did surprise me a little bit during the whole virtual environment is CEOs were looking for a good conversation. So we were able to participate in those conversations then, which is obviously helping us now. And we were also able to bring large-scale management team gatherings with our team and their team, so we did good. But now that we're opening up, we should do even better. So I looked at my calendar for the year, I'll catch my family here and there on a weekend because I'm leaving Sunday for Europe, and after that tour of Europe, we'll hitting Asia very, very soon after that. So we're going full speed, open up the company. We're doing these knowledge events in four distinct locations, as I mentioned. Our sellers are going out on the street, and our management and going out on the street because that's where the customers are. And never forget that United Airlines commercial, when a guy walks in, he's got a bunch of envelopes and looks at his management team. We were sitting around the table, gauging it themselves and it goes, let's go visit some customers. So I expect we're going to get a lot of tailwinds out of that because you're right, to build trust with net new logos, it happens in person. It's hard to do that in a digital format. To really expand the relationship to an enterprise scale, it really does require a good meeting of the minds and emotional trust, and we'll do that. So I really think this is going to be another step function improvement in ServiceNow's future because as a platform provider, getting our customers healthy through some of the challenges that they're fighting through is a seminal moment in our history, and I'm excited.
Kirk Materne: Sounds good. Thanks very much.
Bill McDermott: Thank you very much. Appreciate.
Operator: Your next question comes from the line of Tyler Radke with Citi. Your line is open.
Tyler Radke: Hey thanks for taking my question. I wanted to ask you about how you're seeing the new impact program roll out to your customers. And clearly, Bill, you talked a lot about some of the new products you're innovating on and delivering a lot of value to customers. But how are you just kind of treading that line between the base increases on existing products versus the new products that you're delivering and making sure that customers are able to take on the scope of new products where you guys are really innovating on? Thank you.
Bill McDermott: Absolutely. I really appreciate the question. So here's the situation. Our customers need help. The impact part of this equation, think of it much more in the value delivery context than any kind of price increase. It's really accelerating the value realization for the customer against the software that they've already invested in and they want to extract as much business impact as they possibly can.  And for too long, these customer relationships across every company you can think of is managed by a deck at a point of sale, and then ultimately, the sale is made and then the consultants come in. But it's kind of like job changes, people do different things, and a year later, someone's saying, "Hey, how did we do with that implementation again? Did we get what we bargained for?" And what we're basically doing is making sure that they do and that there's a professional format in doing that. And not just with ServiceNow, but also for our great partners. So just think of this concept as the NOW platform in ServiceNow is the place where every conversation takes place between the partner, the customer and ServiceNow. There's no e-mails, there's no texts, there's no chat on the side. It's all on one platform with everything detailed and spelled out, and we measure everything in real time with all the analytics and all the business outcomes spilled out in a way that could be presented to any Board of Directors. So also on the pricing, again, I want to be clear, like we're not looking to make up for inflationary pressures by putting it on the customer. There are many new customers. There are many more logos. There are many more expansions to our platform. All we want to make sure of is that we do things highly professional, and we know the ranges where our professional expertise should be valued at.  And in that valuing and in that business impact to the customer, a fair agreement is reached. We even developed a pricing structure that enables customers to partner with us and look at the enterprise value of doing things with ServiceNow, not just 1 departmental value. And I think that whole idea of being a solutions and business impact platform company is resonating big time internally and externally. And incidentally, if you're interested, we've done more than 100 deals right now on ServiceNow Impact. And what we're seeing is user adoption is speeding up, values being accelerated and customer Net Promoter and satisfaction is going through the moon. And as Gina said, the retention rates prove it that it's best in the business.
Operator: We have time for one last question. Your last question comes from the line of Brad Zelnick with Deutsche Bank. Your line is open.
Brad Zelnick: Fantastic. Thanks. So much for fit me in. What a fabulous start to the year guys. Congrats to you. Bill, I really wanted to ask about the new automation engine as part of the San Diego release. Can you remind us of your vision for RPA, what the interest level is and maybe the extent to which these are competitive stand-alone opportunities or more filling in the gaps of workflows that naturally are found on the NOW platform?
Bill McDermott: No, it's a really great question, Brad. Thank you very much. As you know, this idea of hyper automation workflows on the NOW platform means a lot to our existing customers. So what they expect from ServiceNow is to remain that highly innovative unicorn that we have been, one that organically builds better, more substantial product experiences with every passing day. And in some cases, they want us to integrate with other tools in the marketplace. But in other cases, if we can build it and it's all integrated into the NOW platform, they would like ServiceNow to own all of that, and we give them choice. And what you see here in this latest release, we brought together process mining, automation, machine learning, RPA and low-code app development into a seamless combined product experience. And now customers are going to be quickly innovating and improving the way work flows across the enterprise.  So our job is to be helpful and integrate with all the market participants, especially when customers find that pleasing, but we also need to innovate ourselves and continue to build out this platform story in a way that's super compelling and it's generational. And that's why I said when I first came to ServiceNow, organic is delicious.
Brad Zelnick: Awesome Bill. Thank you, look forward to seeing you out in Vegas next month.
Bill McDermott: Thank you. Thank you very much. I look forward to spend some time together, Brad.
Gina Mastantuono: Thanks, Brad.
Operator: And this is all the time we have for questions. This does conclude today's conference call. Thank joining. You may now disconnect.